Operator: Greetings. Welcome to CV Sciences' First Quarter 2024 Conference.  [Operator Instructions] Please note, this conference is being recorded. At this time, I'll turn the conference over to Brendan Hawkins with Investor Relations. Brendan, you may now begin your presentation. 
Brendan Hawkins: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I'd like to remind you that on today's call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause the actual results to differ materially from those anticipated by CV Sciences at this time.
 When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project, and similar expressions as they relate to CV Sciences are, as such, forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures, in which CV Sciences excludes certain GAAP expenses from its GAAP financial results. Please refer to CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures.
 This morning, the company issued a press release announcing its financial results. Participants on this call who have not already done so may wish to look at the press release as the company provides a summary of results on this call. The press release may be found at cvsciences.com.
 I'd like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe? 
Joseph Dowling: Thank you, Brendan. Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our first quarter ended March 31, 2024. We are pleased with our continued progress as we move closer to profitability and generating free cash flow on a sustained basis. Some of the significant financial highlights during Q1 included, we achieved revenue of $4 million, a sequential improvement from $3.8 million for the fourth quarter of 2023.
 Our Q1 gross margin of 46.3% represents our best gross margin in the last 12 quarters. We continue to maintain our #1 position in the natural product retail channel and we have also increased our market share in this important sales channel as well. We continue to execute on our M&A strategy. And just yesterday, we disclosed in a press release, our acquisition of Elevated Softgels, a Colorado-based softgel and tincture manufacturer.
 Before I continue, a few comments on the execution and implementation of our M&A strategy. As we have communicated for the last couple of years, we have actively reviewed numerous inbound and outbound M&A opportunities. We are looking for opportunities to increase revenue profitably and increased cost efficiency with transactions that can leverage our assets, including our brands, our people and process and our distribution. We know it is important to investors to achieve greater scale profitably.
 The same is true for CV Sciences to have an opportunity to list on a major stock exchange. We must have greater scale and be profitable. We are making progress. Over the last 6 months, we have now completed 2 strategic M&A transactions that are both components to increasing revenue and scale profitably. During Q1, we made progress in preparing Cultured Foods products for launch in the U.S. market. We have worked on branding, packaging, messaging and product formulation for the U.S. market. We expect to launch the first phase of products sometime during Q3 of this year. We are also supporting our EU team in expanding sales in the EU and other non-U.S. markets.
 Our most recent transaction of Elevated Softgels provides us with operational flexibility, allowing low to large minimum order quantity production runs, allowing for efficient use of capital and the ability to increase speed to market of new product development for our customers. Elevated Softgels is a GMP-certified and FDA registered facility. This acquisition creates opportunity to further increase sales to current and new clients of Elevated. We also intend to in-source production of certain of our key products, creating potential for significant cost efficiency.
 Now moving on. During Q1, we also achieved numerous other operational objectives, including: our new product development efforts continued during Q1 as we are planning to launch several new products throughout the balance of 2024 that we anticipate will contribute to the organic growth of our flagship +PlusCBD brand as well as other non-CBD products. And our cost efficiency efforts continue to result in a lower overall company cost structure with efficiency gains and cash savings in numerous areas, including SG&A.
 Our improved gross margin of 46.3% in Q1, again, our best margin in the last 12 quarters, demonstrates our commitment to continuous improvement in operating a cost-efficient company. On the revenue side, our goal is to increase the scale of our company through organic growth and through our M&A strategy. Brand contraction continues to help us take market share in B2B channels as retailers continue to remove slow-moving brands. In the natural product retail channel, we are the #1 selling brand and continue to see market share concentration of the top 4 brands in the 6% growth. Customers are switching or changing to brands they know and trust and we are at the top of the list in the natural product retail channel.
 The same B2C channel continues to improve. We continuously invest in advertising, merchandising and marketing to optimize our B2C retail and investment. We are seeing good results in all critical B2C KPIs, including new visitors, increased subscription orders and average order value. We believe that further brand contraction, increased education and consumer trust in our company and our strong brand will all help grow the B2C channel. We are prepared to grow the channel and take market share as the category evolves.
 Product development will continue to be important for our growth strategy as new product sales generate a significant portion of total revenues each quarter. Consumers are demanding high-quality brands like our +PlusCBD products, but they increasingly want multi-active ingredient products that carry a structure function claim that can be trusted. We continue to proactively address this trend and have several planned product launches during 2024 to complement products under our wellness line, including our sleep, calm and relief products and our over-the-counter topical line. 
 We will continue to innovate and launch new products that are responsive to our customers and their specific need states, including for anxiety, pain and sleep disorders. We believe that strong science supports our product claims and will win the trust and loyalty of our existing and new customers. 
 On regulatory matters, there continues to be a lot of activity. We have seen progress at the state level and remain optimistic regarding further progress. Inaction by FDA and Congress is frustrating, but we continue to be actively involved in pushing Congress to make progress on a hemp and cannabis regulatory framework, including the possible rescheduling of cannabis to Schedule III status. Incremental legislative progress helps advance our industry and creates an environment with quality companies and products can be trusted to grow the industry in a responsible way. 
 We believe our drug development program and treatment of smokeless tobacco use in addiction continues to be an undervalued asset. This technology, which is patent protected in 10 countries, covers methods of treating smokeless tobacco addiction by administering pharmaceutical formulations containing CBD and nicotine. We believe this drug development program has significant value. And even though we have positive element of this program internally, we continue to see collaboration partners on this program. 
 Our industry has challenges, but we are positioning ourselves to compete in the current environment. We are doing this in numerous ways, including by streamlining our operations, and increasing our cost efficiency to align the company for growth and profitability. We have made great progress in structuring a lean, cost-efficient organization that is positioned to leverage our company's strengths, our employees, our products, the trust in our brand and the strength of our distribution. Our strong operating platform has allowed us to utilize an M&A strategy to acquire assets that add revenue, increase our scale and provide operational efficiency.
 Our acquisitions over the last 2 quarters, including Cultured Foods in December 2023 and just recently Elevated Softgels, will add revenue to the top line and promote cost efficiency as we move toward profitability. We will continue to evaluate inbound and outbound M&A opportunities that support our strategic plan of increasing revenues and cost efficiency. Our immediate goal is to achieve profitability and cash flow positive, and we continue to make progress towards that goal. 
 Let me pause now and I will turn the call over to Joerg. 
Joerg Grasser: Thank you, Joe, and also good morning to everyone. During the first quarter of 2024, we saw the results of several of our key initiatives, which we talked about in previous earnings calls. We maintained our top line revenue at $4 million in a very competitive market where most of our competitors are experiencing sales declines. We also continue to see a positive financial impact of our cost efficiency measures mostly in our gross margin improvement, but also in several other functional areas of our company. 
 Over the last several years, we have made significant reduced cost structure without significant productivity losses, and we are well positioned for operating leverage as we continue to increase revenues, all with the main goal of creating shareholder value. 
 Our first quarter revenue decreased slightly by 4% to $4 million compared to $4.1 million in the first quarter of 2023. On a sequential basis, we were able to increase our revenue by 5% compared to $3.8 million in the fourth quarter of 2023. Our unit sales declined by 15% in the first quarter of 2024 compared to 2023, offset by higher average sales prices per unit of 12%. The average sales price per unit increased due to channel and product mix. 
 We were also able to take market share from our competitors across all of our sales channels. including the natural product channel and B2C. Our new product introductions were successful, and our team is doing an effective job on executing on our go-to-market strategy. New products introduced since the beginning of 2022, we presented almost half of our first quarter 2024 revenue, which shows the importance of new product innovation. 
 The overall CBD market continues to be fragmented and very competitive. We don't see this changing anytime soon, but we see further brand consolidation and brand contraction which are opportunities to further increase our market share and our revenue base. Our direct-to-consumer business continues to perform well and associated sales represented 44.2% of total revenue in the first quarter of 2024 compared to 41.2% a year earlier and 46.5% in the fourth quarter of 2023. 
 Our B2C revenue for the first quarter 2024 increased by 3% and on a year-over-year basis and remained flat on a sequential basis despite reduced digital marketing spend. Our team continues to make solid improvements to our main digital KPIs. We were able to grow our B2C sales on a year-over-year basis as a result of improvements to our subscription and loyalty programs and increased our overall customer list, all good signs for sustainable and continued growth in this channel.
 Gross margin for the first quarter of 2024 was 46.3%, our best gross margin in the last 12 quarters. We recognized gross margin of 43% in the first quarter of 2023 and 45.8% in the fourth quarter of 2023. The improvement in gross margin compared to prior year is mostly due to our product and channel mix and lower inventory losses. We continue to work on further cost efficiency especially in the area of shipping and fulfillment in order to further improve our gross margins and increase our gross profit.
 SG&A expense for the first quarter was $2.4 million, slightly up from $2.2 million a year ago, representing an increase of 13%. The increase in SG&A expense is mostly due to additional legal and professional fees, partially offset by reductions in sales and marketing expense. For the first quarter 2024, we generated an operating loss of $0.6 million compared to an operating income of $5.8 million a year ago, mostly due to the reversal of accrued payroll taxes of $6.2 million in the first quarter of 2023.
 Our adjusted EBITDA loss for the first quarter was $0.5 million compared to $0.2 million in the first quarter of 2023. On a GAAP basis, we reported a first quarter 2024 net loss of $0.6 million compared to a net income of $5.7 million in the first quarter of 2023.
 Now let me turn to our balance sheet. We ended the first quarter of 2024 of $0.7 million of cash compared to $1.3 million at the end of fiscal 2023. We used cash from operations in the first quarter of 2024 of $0.5 million. We continue to manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables.
 We continue to adjust our structure to be in line with our expected revenue with the overarching goal of generating positive operating cash on a continuous basis. We anticipate some modest cash usage in the second quarter of 2024 before generating positive cash flows in the second half of 2024.
 Our inventory was $5.8 million at the end of the first quarter compared to $5.7 million at year-end and as we continue to focus on efficient cash management and converting our raw materials into cash. Our raw materials mostly consist of hemp oil, which we previously purchased and continue to convert into finished products. Our raw material balance was slightly decreased from the end of 2023. 
 We continue to be essentially debt-free and have working capital of $1.4 million. We consolidated the results of Cultured Foods and to our financials for a full quarter and Cultured Foods performed in line with our plan for 2024. During the second quarter of 2024, we will start consolidating Elevated Softgels into our financial statements and we anticipate to see the results of the associated synergies in the second half of 2024.
 With our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our growth plan and look forward to improving trends as the year unfolds.
 Now I will turn the call back over to Joe. 
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, we continue to align our company to the scale of the industry to achieve profitability and positive cash flow. Investors are looking for leaders like CV Sciences to consolidate the industry so that a healthier category can evolve where financial fundamentals such as profitability, and free cash flow can be achieved. We continue to make tough decisions to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. 
 We believe that our M&A strategy, including the acquisition of Cultured Foods and Elevated Softgels, are examples of long-term shareholder value potential. With Cultured Foods, who is making progress to bring these great sustainable plant-based food products into our U.S. B2B distribution network while working with our EU team to grow this business in the European market. 
 The global vegan food market is expected to grow 5x by 2030 and with millennials and flexitarians as the driving force behind soaring vegan food sales. We also plan to leverage the Culture Foods European infrastructure to introduce select products from our flagship +PlusCBD brand across Europe as laws allow providing a nice growth opportunity for our core CBD business. 
 With Elevated Softgels, we are excited to help grow the revenues of this business and to selectively in-source production of certain +PlusCBD products. We will continue to participate in the contraction and consolidation of both the cannabis and hemp industries and will evaluate both inbound and outbound M&A opportunities that have strategic value and help scale our company profitably.
 We are optimistic about the long-term opportunity for our company to remain a competitive force in the health and wellness industry. We have made decisions to ensure that we are focused on adding long-term shareholder value. Our customers and retail partners love our products and they trust who we are. We are a company of dedicated employees that produce safe and high-quality products that meet the needs of our customers at value.
 Now I will turn the call back over to the operator for any calls from the analyst community. 
Operator: [Operator Instructions] We have reached the end of the question-and-answer session. I'll now turn the call over to Joseph Dowling for closing remarks. 
Joseph Dowling: Thank you. I would like to thank everyone for being a supporter of CV Sciences and our great products. We look forward to speaking with you again. 
Operator: This will conclude today's conference. Thank you for your participation. You may now disconnect your lines at this time, and have a wonderful day.